Operator: Good day and welcome to the Paycom Software Fourth Quarter 2019 Quarterly Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the call over to James Samford. Please go ahead.
James Samford: Thank you and welcome to Paycom’s fourth quarter 2019 earnings conference call. Certain statements made on this call that are not historical facts, including those related to our future plans, objectives and expected performance are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements made on this call are reasonable, actual results could differ materially because the statements are based on our current expectations and subject to risks and uncertainties. These risks and uncertainties are discussed in our filings with the SEC, including our most recent annual report on Form 10-K and our most recent quarterly report on Form 10-Q. You should refer to and consider these factors when relying on such forward-looking information. Any forward-looking statement made speaks only as of the date on which it is made, and we do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. Also during the course of today’s call, we will refer to certain non-GAAP financial measures, including adjusted EBITDA, non-GAAP net income, adjusted gross profit, adjusted gross margin and certain adjusted expenses. We use these non-GAAP financial measures to review and assess our performance and for planning purposes. A reconciliation schedule showing GAAP versus non-GAAP results is included in the press release that we issued after the close of the market today and is available on our website at investors.paycom.com. I will now turn the call over to Chad Richison, Paycom’s President and Chief Executive Officer. Chad?
Chad Richison: Thanks, James and thank you to everyone, joining our call today. I will spend a few minutes on the highlights of our fourth quarter 2019 results, review some of our notable achievements in 2019 and also discuss our goals for 2020. Following that, Craig will review our financials and our guidance and then we will take questions. 2019 was another exceptional year for Paycom as we continue to benefit from our differentiated employee strategy and measurement capabilities, along with our comprehensive product offering. We continue to strengthen our position in the human capital management, or HCM software industry. I believe we will look back on 2019 as the year employee usage emerged as a key buying criteria for HCM technology as businesses provide their employees a more efficient way to interact with their own data. I want to thank all of our employees who have helped Paycom change the way people use technology in our industry. We finished the year with very impressive results. Our 2019 fourth quarter revenue exceeded $193 million and represented growth of nearly 29% over the comparable prior year period. Our full year 2019 revenue of $738 million grew 30%, compared to 2018. Our full year 2019 adjusted EBITDA was $318 million, representing an adjusted EBITDA margin of 43%. With this combination of revenue growth and margin, we again achieved the Rule of 70, as we have done for many consecutive years. This accomplishment places Paycom in an elite group of companies that deliver an enviable combination of rapid revenue growth and high margins, and our goal is to maintain a healthy balance of both. We believe our strong performance is due at least in part to growing employee usage of the Paycom system, which is generating substantial benefits for our clients, their employees and Paycom. Employee usage rates, as measured by our Direct Data Exchange or DDX now exceed 90%, on average, across our client base, which means our clients are generating substantial savings and high employee satisfaction. Ernst & Young recently updated its HR study that showed on average a single HR task or data entry point without self-service cost an organization $4.51 to complete, up from $4.39 previously. Our clients are embracing this concept and once again by using our solution, are realizing the cost savings across their entire employment life cycle. In fact, DDX scores for new clients are starting off higher than average, including several large new clients running at or near 100% right out of the gate. Our employee usage message is resonating across the industry, and we continue to promote the benefits to our clients at striving for 100% DDX scores over time. For Paycom, this trend is translating into increasing client interest and sales efficiency, more efficient customer service, high Paycom employee satisfaction and higher revenue retention. I am pleased to share that our annual revenue retention rate for 2019 increased, once again, to 93%, up from 92% in 2018, representing the second consecutive year of improvement after remaining steady at 91% for the prior 6 years. In addition to the DDX, in 2019, we rolled out over 1,500 software enhancements, including several important product launches, such as Ask Here, a communication platform that gives employees a direct line of communication to ask work-related questions that are routed to the appropriate company contact through the convenience of Paycom self-service technology. We also introduced substantial enhancements to our learning management platform with performance evidence and video content creator. We are kicking off 2020 with what I believe will be one of the most significant product developments of the last two years. On Monday, we announced the official launch of Manager on-the-Go, a tool built into Paycom’s existing mobile app, which empowers leaders with 24/7 accessibility to essential manager side functionality of our solution. I believe this is the single most important product release we’ve had since the launch of our employee self-service app. This easy to use functionality distributes the approval responsibilities more broadly and removes impediments to quick data flow. Just like employee self-service fundamentally changed the way employees engage with our solution, Manager on-the-Go fundamentally changes the way managers and decision-makers interact with our solutions. Paycom has been using Manager on-the-Go internally for two months. And for those managers who have been using the product, the vast majority of the manager actions previously done on desktop are now done on mobile. In 2019, we opened our New Orleans sales office and significantly expanded our inside sales capabilities. This brings us to 50 sales teams through the end of 2019. As we look to 2020, we continue to focus on increasing productivity and sales capacity within our existing teams, while at the same time, opening new offices when they make sense to us. As of December 31, 2019, our headcount stood at 3,765 employees as we continue to hire aggressively across our organization to help further bolster the foundation of our future growth. I am very excited by the breadth and quality of our workforce and our ability to attract and retain top talent across the U.S. Paycom received national recognition from several organizations in 2019. In the fourth quarter, we earned two additional accolades. We earned best places to work in the U.S. owners from Glassdoor for 2020 and The Wall Street Journal as the Paycom is one of the best managed companies in the U.S. Both these awards are extremely rewarding and a testament to the culture we continue to develop and grow. Lastly, I want to congratulate the 2019 Paycom Jim Thorpe Award winner, Grant Delpit from Louisiana State University. This award recognizes the most outstanding defensive back in college football and memorializes one of the greatest athletes in Jim Thorpe who also happens to be in Oklahoma. To sum up, 2019 was a banner year for Paycom. I’d like to thank our employees for helping make 2019 our best year ever with a combination of 30% revenue growth, record adjusted EBITDA margin and record revenue retention. With the momentum we are seeing, I am excited about how 2020 is already shaping up. With that, I will turn the call over to Craig for a review of our financials and guidance. Craig?
Craig Boelte: Thanks, Chad. Before I review our fourth quarter and full year results for 2019 and also our outlook for the first quarter and full year 2020, I would like to remind everyone that my comments related to certain financial measures will be on a non-GAAP basis. As Chad mentioned, we are pleased with our fourth quarter results with total revenues of $193.4 million, representing growth of roughly 29% over the comparable prior year period. Our full year 2019 revenue was $737.7 million, representing growth of 30%, compared to 2018. Our revenue growth continues to be primarily driven by new business wins. Within total revenues, recurring revenue was $190.2 million for the fourth quarter of 2019, representing 98% of total revenues for the quarter and growing 28.5% from the comparable prior year period. Total adjusted gross profit for the fourth quarter was $165 million, representing an adjusted gross margin of 85.3%, up 100 basis points, compared to the prior year period. For the full year 2019, our adjusted gross margin was 85.7%, also up 100 basis points, compared to full year 2018. For 2020, our target adjusted gross margin range is expected to remain strong at 85% to 86%. Adjusted total administrative expenses were $98.6 million for the fourth quarter, as compared to $78.3 million in the fourth quarter of 2018. Adjusted sales and marketing expense for the fourth quarter of 2019 was $48.5 million or 25.1% of revenues. We are seeing positive results from our recent ad campaigns and plan to continue to invest in marketing in Q1 and throughout the year. Adjusted R&D expense was $17.9 million in the fourth quarter of 2019 or 9.3% of total revenues. Adjusted total R&D costs, including the capitalized portion, were $25.1 million in the fourth quarter of 2019, compared to $17.7 million in the prior year period. Adjusted total R&D costs for the full year 2019, including the capitalized portion, were $93.3 million or 12.6% of total revenues, compared to $61.5 million or 10.9% of total revenues in the prior year. We continue to attract great talent in R&D, and we plan to continue to invest in our future growth through innovation and new product development. Adjusted EBITDA was $78.6 million in the fourth quarter of 2019 or 40.6% of total revenues, compared to $57.5 million in the fourth quarter of 2018 or 38.2% of total revenues. For the full year 2019, adjusted EBITDA was $317.9 million or 43.1% of total revenues, compared to $240.9 million or 42.5% of total revenues in 2018. Our GAAP net income for the fourth quarter was $45.4 million or $0.78 per diluted share based on approximately 58 million shares versus $31.4 million or $0.54 per diluted share based on approximately 58 million shares in the prior year period. Our effective income tax rate for the fourth quarter of 2019 was 25.8%. For the full year 2019, our GAAP net income was $180.6 million or $3.09 per diluted share. Non-GAAP net income for the fourth quarter of 2019 was $50.5 million or $0.86 per diluted share based on approximately 58 million shares versus $35.4 million or $0.61 per diluted share based on approximately 58 million shares in the prior year period. We expect non-cash stock-based compensation, for the first quarter of 2020 to be approximately $17 million. For the full year, we anticipate non-cash stock-based compensation will be approximately $78 million. For 2020, we anticipate our full year effective income tax rate to be 23% to 25% on a GAAP basis. On a non-GAAP basis, we anticipate our full year effective income tax rate to be 26% to 27%. We anticipate fully diluted shares outstanding will be approximately 58 million shares in the first quarter of 2020. Turning to the balance sheet, we ended the year with cash and cash equivalents of $134 million and total debt of $33 million. As a reminder, this debt represents a financing of construction at our corporate headquarters. Cash from operations was $47.8 million for the fourth quarter, reflecting our strong revenue performance and the profitability of our business model. Now let me turn to guidance. We are pleased to provide a strong initial guidance that is consistent with our historical guidance approach of guiding to what we can see as of today. Our full year and first quarter 2020 guidance is as follows. For fiscal year 2020, we expect revenue in the range of $911 million to $913 million or approximately 24% year-over-year growth at the midpoint of the range. We expect adjusted EBITDA in the range of $384 million to $386 million, representing an adjusted EBITDA margin of approximately 42% at the midpoint of the range. For the first quarter of 2020, we expect total revenues in the range of $240 million to $242 million, representing a growth rate over the comparable prior year period of approximately 21% at the midpoint of the range. We expect adjusted EBITDA for the first quarter in the range of $113 million to $115 million, representing an adjusted EBITDA margin of approximately 47% at the midpoint of the range. We received approximately half of our weekly high-margin recurring revenue on Wednesdays, because January 1, 2020, fell on a Wednesday. There is a unique calendar anomaly this year that we will again experience in five years. In 2020, there are only 12 banking Wednesdays in the first quarter instead of the usual 13 and in the third quarter, there are 14 banking Wednesdays instead of the usual 13. So for quarterly modeling purposes, we expect recurring revenue and adjusted EBITDA to be impacted by approximately a half week of recurring revenue and adjusted EBITDA in the first quarter or roughly $8 million each. In the third quarter, we regained an additional half week of existing recurring revenue and adjusted EBITDA. Next year, returns to a normal cadence as each quarter contains 13 banking Wednesdays. With that, we will open the line for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Raimo Lenschow with Barclays. Please go ahead.
Raimo Lenschow: Hey, thanks for taking my question. Congrats on a great finish to the year. Two questions. First, share that your customer retention improved again this year and I mean 93% is almost enterprise type level. Can you talk a little bit to the drivers to that, because your customer base is more kind of mid-market, but 93% is kind of really best-in-class and how do you get there and kind of can that go even higher potentially? And then you kind of need to explain that Wednesday kind of think again with the Wednesday receipts because a small working industry it kind of seems a bit unusual, but maybe you can give us a little bit more background there? Thank you.
Chad Richison: Sure, Raimo. So I will start off first with the retention. About three years ago, we really started driving toward the employee usage strategy and that’s where employees actually help employers through managing their own data with the direct access. And so we started on that. We released the app. We started to see retention improved as that strategy continued to become prevalent across the organization. We did get some improvement both in 2018. And then in 2019 as we released the Direct Data Exchange, it actually helped our clients, helped us manage that process and put that score out there for them. And they’ve embraced it. And we’ve got two types of clients. I mean we do have those clients that have really embraced it. And we have those clients that are trying to, if you will. And so but for everybody, it really does show the amount of – the types of efficiencies that can be gained when those employees have a direct relationship with the database. And so that as well as we have continued to enhance our products, I mean, I look at how much we enhanced our learning management product, included it in the price. And then we’ve also done that with Ask Here. And then, once again, with Manager on-the-Go, which I believe is the most significant product we have released since our app. And so I think we’ve done well on retention. Your question of can it continue to go higher? Obviously, we do have some clients that might may be bought, sold, merged or out of business, it’s harder to keep those, but I think we’ve done a good job with that trending in the right direction. Shifting over to the quarterly anomaly that we are experiencing this year, I am going to turn that over to Craig.
Craig Boelte: Yes. So Raimo, Wednesdays have historically been our largest processing day and we process about half a week’s worth of revenue on a Wednesday, and that’s for a Friday payday. So we do it 48 hours before payday. So anyone getting paid weekly or biweekly on that week, it impacts them. So what we saw is that first quarter, there is 12 as opposed to 13 and then we make that up in third quarter. So that $8 million really shifts from first quarter to third quarter.
Chad Richison: And Raimo, I will add one thing to that. It’s important to remember this. It’s not new business revenue, this is current recurring revenue. This is from current clients. That means it’s generated from current clients and we don’t have to go out and sell clients to get it.
Raimo Lenschow: Yes. It’s just the way it flows basically, yes. Okay, makes sense. Okay, thank you. Congratulations.
Chad Richison: Thank you.
Operator: [Operator Instructions] Our next question comes from Mark Murphy with JPMorgan. Please go ahead.
Pinjalim Bora: Hey, guys. This is Pinjalim on behalf of Mark. Thank you for taking our questions and congrats on the quarter. Quick question on if you – is there anyway to understand how bookings trended during the quarter? Was it within your expectations for Q4? Any color around maybe deals that closed above the 5,000 employee range and how do you feel about the pipeline going forward?
Chad Richison: No, it was about three years ago we stopped giving specific deals. We never called out the names, but we would call out a 4,200 employee trucking company in the Northeast. So we kind of – we were kind of sharing too much information. So we did continue to have wins throughout fourth quarter as we did every quarter last year at the top end of our range and it was a strong quarter. I mean, to be able to finish the year, first have a strong quarter, but also be able to finish the year at a 30% growth rate, 43% adjusted EBITDA from where we started. When we started earlier in the year, I think our combined guide was at 66%, when you combined our revenue and our adjusted EBITDA guide. So to be able to finish at that level we were happy with that. So our leads continue to be strong. I will share this with. You our leads in the first quarter, just for the first month of January, already up 600%. And so we have continued to spend aggressively in marketing because we’re having success with it. One other thing that I would provide is that we’ve actually expanded our inside sales group, another two teams. And so there is four there now. As you guys may have remembered last quarter, I did talk about how we had 5 inside salespeople, we turned that into 2 teams last year that would be 2 teams of 8, so 16 salespeople and two managers. This year, the month of January, we had to add two more teams to clear the lead volume that’s coming in, because it did increase. And so now, we actually have 32 salespeople inside sales and 4 teams and so it’s not shifting our model and our focus. I mean we are driving it to 50 to 5,000 market. We continue to do that, but we are also continuing to have increased lead volume. And so we have remained focused on generating more leads this year as well.
Pinjalim Bora: That’s great. And the other question I had was on the guidance, Craig, is it possible to understand what is the assumption for interest rate cuts that might be baked into the 2020 guidance at this point in time?
Craig Boelte: Yes. So if you remember, there were three interest rate cuts at the end of last year. In our guidance, we are holding interest rates fairly stable with a possible cut towards the end of 2020, but pretty flat for the full year.
Operator: Our next question comes from Brad Zelnick with Credit Suisse. Please go ahead.
Bhavin Shah: Hi, it’s Bhavin on for Brad. Congrats on a great quarter and to the year. As you look into next year, it looks like your adjusted EBITDA margins are down slightly from 2019, how much of that is due to float revenue versus increased investments into the business and then where should we think about those investments and where they are going?
Chad Richison: Yes. And so we guide to what we can see. Last year, I think we guided 40.5%ish, if you will in adjusted EBITDA. This year, we are guiding at 42%. We are continuing to spend. You guys probably watch some TV and definitely, if you are on digital, we are doing a lot there too. We have an opportunity right now we believe to pick up market share. Our marketing initiatives are bearing fruit if you will. And so we have continued them aggressively. And so I would say – and I will say this is that all of the advertising and marketing spend that we have planned this year is currently baked into that guide we delivered. And so which was very similar to last year’s guide from a baking in the marketing spend, I mentioned the same thing last year as well.
Bhavin Shah: That’s helpful there. And then just a follow-up, can you just speak about the productivity that you have seen with your existing sales offices, is there anything specific that you would call out that is improving productivity here?
Chad Richison: Yes. I mean, the salespeople now will be able to – I would say toward the end of this year, usually, I would say, we have this many reps that continue to sell $1 million. I mean we have got reps up at $1 million. We have got some reps at $2 million. I won’t have those final numbers. The sales years run or sales rep quota runs February through the end of January. So, they actually end on their largest month. And so we will have those commissions about February 15 and we will be able to talk more about that. But what I will say is I am able to see what different reps book. We do know that most all of our bookings, minus about 3% turns into revenue or turns into sales – or turns into yes, revenue, actually started business. And so we are seeing success there across the board with all of our sales reps.
Operator: Our next question comes from Brad Reback with Stifel. Please go ahead.
Brad Reback: Great. Thanks very much. Chad, on the inside sales efforts, can you remind us are those net new customers they are going after or is that up-sell into the installed base?
Chad Richison: Yes, it’s a good question. That’s actually net new customers, new logos. So those reps do not up-sell to current clients.
Brad Reback: And what are you doing on that front?
Chad Richison: So we have a different group that does that, Brad and that’s our CRR group and that group continues to go out, meet with clients and when it makes sense to be able to sell them additional products and that group also helps our products. That was one of the groups that really helped drive retention. I mean I should go ahead and call them out two years ago. They actually went back into the client base and made sure everybody was set up for good usage and they were actually working with the clients showing them the internal DDX score before we developed it. And so that group continues to work with clients as well as up-sell them when the opportunity arises.
Brad Reback: Great. Thanks very much.
Operator: Our next question comes from Mark Marcon with Baird. Please go ahead.
Mark Marcon: Good afternoon and thanks for taking my questions and congratulations on a great year. Just wondering, Chad, can you talk a little bit about Manager on-the-Go like how – is there any additional revenue per client that you are anticipating and can you tell us a little bit more about what you are seeing in terms of your inside usage already over the last few months and how rapidly it’s being adopted?
Chad Richison: Sure. And so like DDX and Ask Here, Manager on-the-Go is actually included in the client’s current pricing. It’s a usage product. Work doesn’t stop when you are away from your desk, whether you are walking around and you are building away from your desk or whether you are driving around or off location. And so Manager on-the-Go changes the way managers and decision-makers interact with our solutions. We actually believe it also broadens the number of users within our system, because there are several people that could be included in the time and attendance time card approval process or the time-off request process or the expense management approval process. They could be included, but for they do not have access to that type of technology where they are located, maybe they aren’t, someone that works in an office. So we believe it will help broaden it. We believe it will increase the data flow. And we also believe that as people use Manager on-the-Go like our own employees who have been using it internally, it will become the way that they use the system for those specific task. It’s important to note not everything we have is within Manager on-the-Go, it’s task-oriented. There are some things that a client would still use desktop for specifically configuration and some other things. And so we have had it internally for two months. We actually, Mark, released it to our clients, Thursday night, this past Thursday night. And so I believe, we are going to have a lot of success with that, not unlike what we have seen with our employee app.
Mark Marcon: That’s great. And can you talk a little bit couple of financial questions. One, just on the cash flows, when we take a look at them in terms of the year-over-year growth and cash flow from operations, can you talk a little bit about some of the things that would hinder the growth, I imagine sales commissions were quite strong this last quarter?
Craig Boelte: Yes, I mean – so, Mark, in terms of cash flows from operations, with 606, we do have some deferred costs in there. But – and the other things would just kind of be normal cash flow items. Obviously, taxes, you can have some variability from quarter-to-quarter on your tax payments. And when certain stock comp vest, you can get some benefits from that, which may lower your tax rate. So those were kind of some of the puts and takes on the cash flow.
Operator: Our next question comes from Arvind Ramnani with KeyBanc. Please go ahead.
Arvind Ramnani: Thanks for taking my question. Certainly, we have got a good understanding of DDX and other benefits, it’s broad. But besides DDX, when you think of the other products and features you have rolled out over the last year or two, which of those has seen sort of the biggest impact on win rates and which has – which of the products have seen sort of highest client interest?
Chad Richison: Yes. I will tell you, when it comes to DDX, it’s hard for me to call it a product. It is almost a scorecard of our strategy or a health check. And so in order for someone to even see the DDX is valuable, they have had to buy off on the strategy, right? And so when we are talking about that, DDX, I think, helps people visualize and understand how they win with this strategy. I mean if you are a company that has just even an average DDX score, and let us say, of your changes last year, 350,000 were made directly by employees, and let us just say maybe only or the client made 150,000 changes. If you are able to take that into any other setting in retail, where you have 150,000 people going to a counter and 350,000 people going direct, and you’re able to move those other 150,000 to direct versus the counter, for an overall business, there is quite a bit of not only cost savings, but as well as efficiency. And so what the DDX does is, it helps us drive that strategy home and becomes a proved source of what success looks like in that. I will say that I think learning management became a lot stronger product last year. When you think about we are replacing mundane data input tasks with a task that help drive further value for a business, learning has to be at the top of that list. And the fact that we’ve added a product to the learning management system, which allows employees to actually demonstrate proficiency in what they just learned as well as many other features and enhancements that we’ve made to the system, we believe that, that’s moving in the right direction as well.
Arvind Ramnani: Great. And one feature, if you could comment on, is essentially, on-demand pay, is that a focus area for you or is that something clients bring up?
Chad Richison: Well, on occasion, I mean, I will say this, our software has the functionality to calculate net pay today. And we do not stop our clients from using third-party options. But we do want to make sure we have our bases covered. I mean we’re an HCM vendor. It is important that we help keep our clients compliant. There are daily pay rules per state and there is deposit filing requirements and rules per state as well as the Fed. And so we do continue to engage with the IRS looking for a letter ruling on this specific thing of how companies can – should actually be handling it and not get in trouble from the tax. But I just want to say, I do not see on-demand pay or daily pay or whatever it wants to be called, I don’t really see this as a technological differentiator for anyone in our industry. I think all systems can pretty much provide it. It is just a question of choice, not so much capability.
Operator: Our next question comes from Brian Schwartz with Oppenheimer. Please go ahead.
Brian Schwartz: Yes hi, thanks for taking my question today. Chad, maybe just looking out a little bit longer, I was just wondering if you feel like a 25% recurring revenue growth rate is something the business could sustain here as we kind of look out over the next few years. It looks like you’re guiding that for - with Q1 when you kind of normalize the impact of the bank holiday. And when I think about it, you gave us lot of stats, but during the Q&A, you mentioned how the lead flow has really accelerated here and you are continuing with the advertising spend throughout the year. So I am just wondering if – in terms of your pipeline, if you’re actually seeing an acceleration in the pipeline as some of these initiatives are starting to bear out fruit for you?
Chad Richison: Yes, certainly. I mean if your leads go up 600%, it is going to impact your pipeline for sure and that would be the case here at Paycom. We do continue to spend on the advertising, provided that it works. I mean I will tell you this, I would have a problem spending money. You cannot waste money in advertising. You cannot waste money in marketing. And so that’s something we track week-by-week, leads came in that converted to appointments, that convert to deals and those are percentages that we track. And – but the tip of that spear is the leads actually coming in and they are good leads. And so we do continue to look to increase lead volume.
Brian Schwartz: Thank you. And then the follow-up question that I had, Chad was I noticed in your introductory comments, you talked about looking back in 2019 could be, I cannot remember your language, but something significant year in terms of improving the positioning for the business in the industry. And I was just wondering with that comment, were you referring to all the new technology, product-related announcements that you had or maybe the self-service messaging is resonating fast or is anything happening out there with the competition or anything else in the industry that gave you the conviction here to make that comment about the improved positioning of the business? Thanks.
Chad Richison: Sure. Well, I call 2019 our best year because all metrics were up. I mean we have had years where we have had good growth. We have had years where we have had good adjusted EBITDA. But when you are looking at what we are doing now, we are growing on a higher number. Retention is going up, which is actually harder on a higher number when it is revenue retention, when you’re not getting 40% growth that we had three, four years ago. And so retention is going up. Our own employee retention is going up. It is continued to march up. That’s been good. Our clients are happier. Our clients are starting out the gate with higher usage scores. We have cleaner conversions because of that. We have more motivated clients to convert. Our lead volumes up. We are getting momentum. And so all that’s to say is, as I look back on 2019 and we shifted our entire strategy over the last three years. I mean we introduced an app, and then wanted people to actually use it, which changed the way people use this technology. It changed the way we service the technology, changed the way we sell the technology. And so we went through all of that with what I would say was without a blip. And if you look at 2019, it is kind of how everything came together, if you will. And as I looked at the metrics across-the-board at Paycom, all of them were good. And so that’s why I called out 2019 is the best year we have had.
Operator: Our next question comes from Robert Simmons with RBC. Please go ahead.
Robert Simmons: Hi, thanks for taking my question. So you touched on this a little bit, but can you go into what were the actual drivers of the net retention improving? Not necessarily the numbers, of course, but was it both gross churn improving and better up-sell? Or was there anything else going on there?
Chad Richison: Yes. I mean, I would say, you always have the same components of retention, which would include your trailing 12 revenue, which would include business you bring on, it would include up-sells, it would include all the rest of it. However, it has been very stagnant, if you will, at 91%, then it jumped at 92% and jumped at 93%. So what was different? What is different is the amount of usage we have in these systems. If you look back – listen back to past quarters, you would hear me say things like it costs the client the same whether they get all the value out of it or just a little bit of value out of it, and we are driving clients to get all the value out of it. I believe as clients have gained more value and some all of the value, they are less likely to look and they’re less likely to be sold away from Paycom, as they continue to get that value here. As well as, we continue to create more value for them included in their current fee with many of the products that I’ve mentioned just last year with Ask Here, enhanced learning as well as now Manager on-the-Go.
Robert Simmons: Got it. And then given the more efficient support you are able to provide people now, given they are – getting better usage, do you see upside to your gross margin, either this year or potentially in the long run?
Craig Boelte: Yes. I mean, we actually saw gross margin move up this year. So we are extremely happy about that. And as Chad mentioned, the more the clients use it, the easier it is to service the clients. So we did see the gross margin tick up this year.
Operator: Our next question comes from Daniel Jester with Citigroup. Please go ahead.
Daniel Jester: Yes thanks for taking my question. Just maybe kind of a big thematic one, I know you are not going to give me sort of a product road map over the coming year. But I think thematically, if you think about where you are investing R&D dollars, are there any kind of themes that strike that you can kind of help us think about how you are looking at the business for 2020? I know in the past, you have talked about worker productivity? Is it big theme? Is that still the idea or is – any shifts from now?
Chad Richison: Yes, I want to make sure I understood the question, it sounds like you are asking about the product road map and what our focus are for this year. Well, we do not describe the very specific products that we are coming out with. I will say this, Paycom looks to develop products that drive not just usage, but value to the employer that is measurable. We continue to identify opportunities for that, which fit within the HCM realm, if you will. Manager on-the-Go is one way to get to some of that. I think, as we move forward into this year and especially as we look back and measure what happened, I mean, I believe, to some extent, everybody that uses our system that is in the approval process flow, if you will, will be using Manager on-the-Go. And so I don’t think mobile usage is going to retreat anytime soon in our industry. And honestly, I think it is becoming more prevalent as your younger generation move into management roles.
Daniel Jester: Thank you.
Operator: Our next question comes from Ryan MacDonald with Needham & Company. Please go ahead.
Ryan MacDonald: Yes thanks for taking my question. Chad, you mentioned that you expanded inside sales groups to two additional teams so far this year. How should we think about the additional rollout of teams moving forward? Is this something that we would expect in terms of the pace of launches to be similar to what you did over the past few years with new office openings?
Chad Richison: We continue to be focused on new office openings. I am not going to call inside sales teams new office openings. They are inside sales teams. But they are doing extremely well. So we are going to continue to open up offices when it makes sense to us, which would include identifying opportunities throughout this year.
Ryan MacDonald: Got it. And then just a quick follow-up, you mentioned that the CRR group is obviously responsible for up-sells. Can you talk about the growth of that team and what it has been like in, say, over the past year and perhaps thoughts on how that team is expected to grow in 2020 as well? Thanks.
Chad Richison: Yes. We have not given any specifics out on the size of that team or exactly how much it grows. But I can say it keeps up with about the growth percentage of revenue. You have – those CRRs are going to be responsible for clients, a certain amount of clients that they will carry. So obviously, as your client count goes up, revenue goes up, you are going to have some of that. Now what I will say, they’re more focused on the client versus the size of the revenue of the client. And so they have certain duties that they do on a weekly basis that keeps them focused on a set number of clients. And so there is a correlation between number of clients we have and CRRs.
Craig Boelte: And kind of a housekeeping item, I wanted to mention as well, just our client count at the end of the year. Our client count at the end of the year was 26,527 and on a parent company group, it would be 13,581, and we also stored data for over 4.9 million employees of our clients last year.
Operator: Our next question comes from Siti Panigrahi with Mizuho. Please go ahead.
Michael Berg: This is Michael on for Siti. I just wanted to ask on the sales efficiency piece of the equation. How could we think about, I guess, saturation in some of your markets? And obviously, you’ve been in some offices more than others. But is that a concern at some point or would that lead to more sales office openings down – in the future? How can we think about that dynamic?
Chad Richison: Well, I hope it becomes a concern at some point. I would not say we are at that now. I mean you can take any city, even the smallest ones we are in that we have been in there for the longest period of time. And our calculation of our TAM is still there, a very small percent of the overall TAM that exists. And so we continue to have opportunities everywhere. And I don’t see us running out of those opportunities at any given time. As you guys can see, there’s all types of competition out there. And everybody and their dog wants to get into the next one. And so there is a lot of prospects out there. And we have a lot of opportunities. So no, we’re not running into any saturation.
Michael Berg: And then a quick follow-up on that, is there any change in the competitive landscape? Obviously, you guys are seeing a nice uptick in your pipeline. Has your win rates changed dramatically in one direction or the other?
Chad Richison: We don’t discuss win rates, except to say, they have been very healthy. And we did not wake up this year retreating back from where we - the success we had last year. So we are the same company. We’re in a stronger position this year coming out of last year from products, staffing and everything else. And so we are going to focus on what we have to do this year to end on a good note.
Operator: [Operator Instructions] At this time, there are no further questions. I would like to turn the conference back over to Chad Richison for any closing remarks.
Chad Richison: Alright. Well, I would like to thank, everyone, for joining us on the call today. And I would like to send a special thank you out to all the Paycom employees for a great 2019 and a strong start to 2020. Over the next couple of months, we will be on the road meeting with investors. Craig and James will be hosting investor meetings in San Francisco at the Morgan Stanley Conference, on March 3 and at the KeyBanc Conference on March 4. We appreciate your continued interest in Paycom and look forward to meeting with many of you soon. Thank you, operator. You may disconnect.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.